Operator: Good day, ladies and gentlemen, and welcome to the PerkinElmer Q2 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this call will be recorded. I would now like to introduce your host for today's conference, Mr. Tommy Thomas, Vice President of Investor Relations. You may begin.
Tommy Thomas: Thank you, Katherine. Good afternoon and welcome to the PerkinElmer second quarter 2016 earnings conference call. With me on the call are Rob Friel, Chairman and Chief Executive Officer, and Andy Wilson, Senior Vice President and Chief Financial Officer. If you have not received the copy of our earnings press release, you may get one from the Investors section of our website at www.perkinelmer.com. Please note this call is being webcast live, and will be archived on our website until August 18, 2016. Before we begin, we need to remind everyone of the Safe Harbor statements that we have outlined in our earnings press release, issued earlier this afternoon, and also those in our SEC filings. Any forward-looking statements made today represent our views only as of today. We disclaim any obligation to update forward-looking statements in the future, even if our estimates change. So you should not rely on any of today's forward-looking statements as representing our views as of any other date after today. During this call, we will be referring to certain non-GAAP financial measures. A reconciliation of the non-GAAP financial measures we plan to use this call – during this call to the most directly comparable GAAP measures is available as an attachment to our earnings press release. To the extent we use non-GAAP financial measures during this call that are not reconciled to GAAP in that attachment, we will provide reconciliations promptly. I am now pleased to introduce the Chairman and Chief Executive Officer of PerkinElmer, Rob Friel. Rob?
Robert F. Friel: Thanks, Tommy. Good afternoon and thank you for joining us today. As we reach the midpoint of 2016, I'm pleased with PerkinElmer's performance here to date, having successfully driven growth, expanded margins and generated strong cash flow. Specifically, during the second quarter we increased adjusted earnings per share by 12% to $0.67 per share, expanded adjusted gross margins by 90 basis points, and adjusted operating margins by 50 basis points, and came in at the midpoint of our guidance with revenue of $573 million. Our solid results reflect excellent operational execution from an outstanding team of employees around the world, as well as our focus on the most compelling growth investments and our continued commitment to outstanding service for our customers. Consequently, despite the ongoing mixed macroeconomic environment, we are confident in our ability to drive double-digit adjusted EPS growth this year and achieve our top-line growth targets. In addition to our financial results, I was also pleased with the progress made on our strategic priorities during the second quarter. As a reminder, the majority of our efforts this year are focused on three areas. First, driving innovation collaboratively with our customers to better leverage combined technical and application knowledge to create truly differentiated solutions, resulting in tangible customer value. Second, investing where we believe, we have the most significant opportunity to increase, maintain, or capture leading share positions. And third, continuing to drive operational effectiveness to advance our competitiveness and improve profitability. Turning first to innovating with our customers, a good example of this approach is a recent collaboration with the Genome Institute of Singapore, focused on advancing precision oncology. The institute aims to develop a high-throughput screening platform to predict therapeutic sensitivity in tumor models in real time, with the ultimate goal of translating precision oncology research results into the clinic. To do this, its researchers are utilizing a number of PerkinElmer products, including our automation and liquid handling solutions, as well as both our tissue and cellular imaging platforms. In China, a major dairy company will now use our solutions to verify nutrients, test vitamin content, and detect heavy metals in their products. This is an excellent example of where we were successfully expanding our addressable market in the food quality and safety area by leveraging the collective strength of our inorganic capabilities with Perten and Delta's expertise into new applications and products. In the fast-growing area of reproductive health, we are working with a number of states in the U.S. to facilitate the screening of lysosomal storage diseases, or LSDs, enabling early detection of these rare inherited metabolic disorders in compliance with the HRSA-recommended newborn screening panel. We also recently introduced several new products to strengthen our core offerings. These include the Avio 200 ICP spectrometer, which is the smallest analyzer of its kind on the market. The Avio 200 helps the lab professionals perform complex multi-elemental inorganic analysis for applications in food quality, soil and water testing. Additionally, in our research business, we continue to launch new assays, with over 25 new biochemical and immunoassays supporting drug discovery applications brought to market this year alone. During Q2, we launched an NGS 3K assay, which runs on our LabChip Touch microfluidic platform. This assay delivers the highest sensitivity at the lowest DNA sample concentration, providing customers with improved sample quality control for their sequencing experiments. We also expanded our NGS capabilities with the recent acquisition of BioScientific, a company based in Austin, Texas, that provides biotechnology solutions for food and feed safety testing and life science research. The acquisition builds upon our food franchise with the addition of immunoassay-based technologies that detect pathogens, toxins and other contaminants. Additionally, Bio's laboratory preparation offering for next generation sequencing broadens our NGS workflow solutions. To drive innovation, we once again increased our R&D spending in the second quarter and are on track to increase R&D as a percentage of sales by 50 basis points for the full year. As we have communicated previously, we are concentrating a greater portion of our growth investments in four priority areas. These areas includes food quality and safety, pharma services and solutions, reproductive health, and emerging market diagnostics, and represents roughly 40% of PerkinElmer's total revenues. The benefits of this strategy is already paying off. In the second quarter organic revenue for all four of these areas grew by greater than 10%, and in each of these areas the rate of growth increased sequentially. Andy will cover this in more detail, but the strong growth we experienced in these businesses helped offset headwinds in the industrial (7:45) markets as well as declining demand in medical imaging. Going forward, one of the keys to our ability to accelerate top-line growth rates will be further expanding these priority areas as a percentage of total company revenue. Turning to our progress on operational execution, we have experienced excellent gross margin expansion during the first two quarters of this year. Our multifaceted approach to achieving cost excellence, enhancing quality, and providing customers with a superior experience continues to pay off with incremental efficiencies and productivity improvements. First, we made good progress in the second quarter with a new team implementing Lean throughout our manufacturing sites. Second, we just launched design for excellence and product lifestyle engineering initiatives to both enhance our new product development approach, as well as deploy new standards for product reliability. These initiatives involve R&D and manufacturing working together, and will enable us to deliver greater customer value and competitiveness through designing and manufacturing our products more cost effectively. As we move into the second half of the year, we anticipate an economic environment that will provide both opportunities and challenges. On the positive side, we continue to see accelerating growth for our diagnostic business as a number of our initiatives are expanding both our share and addressable market. In addition, our OneSource business continues to benefit from the growth in pharma spending and increased outsourcing. And our food analysis business is benefiting from increased synergies across our portfolio as well as the overall growth of the market. However, creating headwinds to these trends are continuing concerns about the industrial end markets, as GDP and PMI numbers remain concerning, as well as medical imaging continues to face declining market demand. As a result, we are maintaining our second half organic revenue forecast, and our adjusted EPS guidance remains unchanged as well. I would now like to turn the call over to Andy to discuss our Q2 financial results and forecast in more detail. Andy?
Frank Anders Wilson: Thanks, Rob, and good afternoon everyone. Consistent with previous quarters will provide some additional color on our end-markets, a financial summary of our second quarter results, as well as details around our third-quarter and full-year outlook. Starting with the second quarter, we continue to be pleased with our operational execution. The success from key Lean and indirect spend initiatives have afforded us the opportunity to make meaningful growth investments across the portfolio and still deliver solid financial results to our shareholders. For the second quarter, adjusted revenues were $573 million, approximately the midpoint of our guidance range of $570 million to $575 million. Adjusted earnings per share were $0.67, up 12% from the comparable period a year ago, and above the high end of our guidance range of $0.65 to $0.66. Overall, the quarter played out essentially as expected. Looking at our end markets, we saw accelerating diagnostic demand, healthy pharma and biotech sales, and strong growth in food. This strength however was partially offset by softer than expected industrial end-market demand and a weak performance in academic and government, primarily in the U.S. due in part to a difficult double-digit prior year comparison. Looking at our geographic results for the second quarter, we experienced double-digit organic revenue growth in Asia, low single-digit growth in Europe and low single-digit declines in the Americas. We continue to be pleased with our results in emerging markets, where second-quarter organic revenue increased mid-teens compared to the same period a year ago, driven by a strong performance in China, which more than offset weak demand in Brazil. Overall, our emerging market demand continues to remain resilient. As to China specifically, organic revenues grew double digits in the quarter, with broad-based strength from both our Human and Environmental Health segments. Within Environmental Health, our Haoyuan blood screening business had another solid revenue performance, with strength expected to continue into the second half of 2016. On the Environmental side, food and environmental testing solutions were the key contributors to Environmental Health's solid performance in China. As to our operating results for the quarter, adjusted gross margins were 47.9%, up 90 basis points over the same period a year ago, driven by successful Lean initiatives, volume leverage and mix. We remain encouraged by the progress we're seeing from our Lean activities. Adjusted SG&A was 24.3%, essentially flat over the same period a year ago as a percentage of adjusted revenue. We continue to believe that we can successfully leverage our G&A at a rate approximately half the pace of our revenue growth. Looking at Research and Development, second quarter spending was approximately $2 million higher than the same period last year, driven by ongoing investments in our four strategic initiatives: emerging market diagnostics, pharma and biotech services, food, and reproductive health – including R&D funding supporting Vanadis, an acquisition we announced in the first quarter. Overall, we were encouraged by our operational performance in the second quarter as we also expanded adjusting operating margins by approximately 50 basis points, while still funding incremental R&D investments. Looking below the operating line, second-quarter net interest and other expense was approximately $5 million and our second quarter adjusted tax rate was just over 18%. Our first-half 2016, adjusted tax rate was approximately 19.7% and remains in line with our expected full-year adjusted tax rate of approximately 19.5%. Turning to the balance sheet, we finished the quarter with approximately $1.1 billion of debt and nearly $250 million of cash, and we exited the quarter with a net-debt-to-adjusted-EBITDA ratio of 1.8 times. In July, we announced the successful completion of a €500 million senior note offering. With a 10-year tenor and 1.875% coupon, we have efficiently extended our overall weighted-average debt maturities by approximately 3.8 years. While we do expect some modest dilution related to this offering, we anticipate covering the incremental interest cost through our ongoing operational initiatives. We were also pleased with our strong cash flow generation in the second quarter. Total operating cash flow for the first half of 2016 was $128 million, as compared to $101 million in the same period last year. For the year, we remain confident in our ability to deliver our adjusted free cash flow commitment of $300 million. I'd also like to note that our board recently approved a new two-year $8 million share repurchase authorization that will replace the current repurchase authorization that was set to expire in October of 2016. Turning to our segment results for the second quarter, Human Health organic revenue grew approximately 6%, with Environmental Health declining 1% as compared to the same period a year ago. From an end-market perspective, our Human Health business represented approximately 62% of adjusted revenue for the second quarter of 2016, with Diagnostics representing approximately 29% of adjusted revenue and Life Sciences Solutions representing approximately 33% of adjusted revenue. Second-quarter 2016 organic revenue from our Diagnostics business was driven by double-digit growth in our core diagnostics franchises, with China and India both up over 25%. As mentioned, we continued to make significant progress in our Haoyuan business, with strengthening reagent demand now supporting recent instrument placements highlighted in previous quarters. In addition, we successfully captured a number of key neonatal wins in Pakistan, Jordan and Poland, which also contributed to this performance. Within medical imaging, we see increasing demand for a number of new CMOS applications as diversification efforts within the portfolio gain traction. However, the business overall declined high single digits in the quarter due to continued weak hospital CapEx demand. As expected, organic revenue in our Life Sciences Solutions business grew low single digits in the quarter, driven by strength in pharma and biotech and further bolstered by broad-based demand in our OneSource and informatics franchises. As mentioned, academic and government spending in the U.S. was soft in the quarter, due in part to a very strong double-digit comparison to the second quarter of 2015. Moving to our Environmental Health business, which represented approximately 38% of adjusted revenue, organic revenues declined 1% for the second quarter. Growth was once again led by our food testing offerings, which grew double digit in China, but was offset by softer than expected industrial demand. We continue to forecast improving but modest growth for the second half, bolstered by a number of new product launches that Rob mentioned earlier. Looking at operating segment margins, the results were essentially in line with expectations. Environmental Health margins expanded 160 basis points as strong mix, prior year restructuring actions, and solid operational execution all contributed to this performance in the quarter. Human Health margins were essentially flat, largely due to planned growth investments and mix, partially offset by the positive impact of pricing initiatives implemented at the end of last year. Looking ahead to the third quarter of 2016, we believe we are well position to deliver another solid financial performance with an expectation for continued stability in a majority of our end markets, partially offset by softer demand from industrial end markets. As a reminder, we are cycling up against an extra week in the third quarter of 2015, which contributed a benefit of approximately 200 basis points to our revenue performance last year. Accordingly, for the third quarter of 2016, we are forecasting reported revenues to be in the range of $570 million to $575 million, which represents organic revenue growth of roughly 2% to 3%, which is consistent with our previous outlook. Third-quarter 2016 adjusted earnings per share is expected to be in the range of $0.65 to $0.67. Looking at our outlook for the full year, the majority of our businesses are expected to deliver solid results, and while we expect that the soft industrial demand experienced in the second quarter will continue, we continue to expect our organic revenue growth to be approximately 4% for the year, and we are maintaining our outlook for adjusted earnings per share to be in the range of $2.75 to $2.85, with a midpoint of $2.80. This concludes my prepared remarks. Operator, at this time we'd like to open up the call for questions.
Operator: Thank you. Thank you. And our first question comes from Bill Quirk with Piper Jaffray. Your line is open.
William R. Quirk: Great, thank you. Can you provide an update on the China blood screening? Is there future placement opportunities there? And how is it ramping with the existing instruments that were replaced in mid-2015?
Robert F. Friel: So, the China blood screening business had another strong quarter in Q2, it actually more than doubled. And so we're starting to see the reagent flow-through of the instrument placements in the tender that we won in 2015.
Frank Anders Wilson: To add to that, we are probably two-thirds of the way through the tender process, but there are still tenders out there. We continue to capture our fair share of those. And we continue to believe that we will be able to see increasing reagent flow through, and that obviously is helpful for the margin.
William R. Quirk: Okay, got it. And then, I know Brazil newborn screening is a small piece of the business, but are you seeing any impact from the birth rate slowdown from Zika?
Robert F. Friel: Yes. I would say, clearly, our Brazilian business has been hit fairly significantly there. I think it was down greater than 25%. I guess, if there's any good news, the Brazilian business is getting so small that it's becoming somewhat irrelevant, but yeah, there's been a severe impact on the newborn screening business there.
Operator: Thank you. And our next question comes from Dan Arias with Citigroup. Your line is open.
Daniel Arias: Afternoon, guys. Thanks.
Frank Anders Wilson: Hey, Dan.
Daniel Arias: Rob, it looks like you might have been – hey, Andy – a little bit light relative to your 4% organic forecast for the quarter, maybe a half point or so by my math. So, without splitting hairs, would you say that that was due to Environmental Health? Or was it more of a split between Environmental Health and some of the declines you saw in medical imaging? Just trying to see where you have your model.
Robert F. Friel: Yeah. I would say, it was probably a combination – it was a combination of both of those. I would say Environmental was a little light. And we continue to see challenges on the industrial end-markets. I think in the beginning of the year, we highlighted that we're a little concerned about there, and I think we figured that could be down sort of mid single-digits. We're actually seeing a little bit greater headwind than that. And then, medical imaging also, I think we handicap that as sort of down slightly, and we're seeing again probably something like high single-digit growth declines there. We did see some offsets though, China was clearly stronger than we thought, and the majority of the diagnostic business was stronger than we thought. But as you said, on balance it was a relatively minor impact there. Maybe Andy, just want to cover that for a second?
Frank Anders Wilson: Yeah, yeah, we gave guidance at the end of the first quarter for the second quarter of $570 million to $575 million, and if you look at the midpoint of the range, which is where came in, really to get to 4% organic you kind of needed to be slightly north of the midpoint. And in addition, in the quarter we had a little bit of a tailwind from FX, maybe it was $1 million, but in order to round up to the 4% versus the 3%, we really needed to be at the high end of the range. But just to kind of be clear, we're talking about $2 million, a little less than $2 million, or about 0.3 percentage point, which really swung the difference between three and four.
Daniel Arias: Okay. Got it. So even less than a half a point there is what we're talking about, okay. And then maybe just as a follow up, Rob, I think last quarter you quantified new product revenues as $18 million or so. Would you care to comment just on how, A, this looked for this quarter for new products, and then maybe how that number tracks through 3Q and 4Q?
Robert F. Friel: Yeah. So, similar number. I think actually for the second quarter it was around $17 million from an incremental perspective. I mentioned the fact that the Avio 200 came out really towards the latter part of the quarter, so we're excited about that. We're starting to see early traction. And then as we get into the second half of the year, some of the new products coming out of the research area just start to gain some traction. So one of the reasons I think we feel optimistic about the back half, and sort of a slight acceleration in the organic growth rate, is because of the new products and the expectation that they'll accelerate from an incremental revenue contribution perspective.
Operator: Thank you. And our next question comes from Matt Mishan with KeyBanc, and your line is open.
Matthew Mishan: Good afternoon, and thank you for taking my questions.
Robert F. Friel: Sure.
Frank Anders Wilson: Sure.
Matthew Mishan: Hey, around medical and imaging, I know you guys supply into the OEMs, but do you have a sense of kind of which regions are driving the weakness? I think the U.S. – on the U.S. capital spend and hospital capital spending side has been pretty stable and robust, but emerging markets, Europe have been fairly weak. Do you have a sense of what's really causing it for you?
Robert F. Friel: Yeah. I would say our weakness is largely more in Europe than it is in the U.S. And then again as we've tried to expand out the breadth of our medical imaging capabilities, I would say clearly on the CMOS and the industrial side, we continue to see good growth. The challenge has been really more in both oncology as well as radiology. So it's sort of limited in those areas, but outside there we continue to see pretty good growth.
Matthew Mishan: And then, just to clarify, I think you said, you though that Core Diagnostics was up double digits. When you say Core Diagnostics, is that just excluding the medical imaging? And if you're able to get medical imaging back to flat, you're running it at a double-digit rate there? I'm just trying to understand...?
Robert F. Friel: Well, yes in fact. The difference between Core Diagnostics is, it excludes medical imaging, and that was double digit organically in the quarter.
Matthew Mishan: Right. Thank you.
Operator: Thank you. And our next question comes from Steve Beuchaw with Morgan Stanley. Your line is open.
Stephen C. Beuchaw: Hi. Good afternoon, and thanks for the time here. Just a few clarifications on my end. One, the new repurchase authorization, can you give us a sense for the pace at which you're thinking about executing on that? And then second, maybe also for Andy, could you give, us in dollars or in basis points, what the contribution was in the quarter for M&A? And then I have one for Rob.
Frank Anders Wilson: I can answer probably the first two, and then I'll let you ask Rob's question. On M&A, it was basically immaterial. So for modeling purposes, we will not have anything to really report there. As far as the other question – I just blanked on it. What was your first question?
Stephen C. Beuchaw: Share count.
Frank Anders Wilson: Share count. We don't – we tend to be fairly opportunistic with our share repurchase. Our first preference continues to be around M&A, and we feel like we've got a pretty good pipeline. So as far as capital deployment, that is and will continue to be our preference. I think it's just really more it was a matter of timing, we had the Board together last week, so we elected to get it reapproved. But it is a two-year timeframe for those, and so we do re-up those. But there isn't any formalized program that is being contemplated at this point.
Stephen C. Beuchaw: And then, Rob, just to sort of dovetail with that, on the last call you made a comment about a medium-term plan for mid-teens earnings growth, and I believe there was a clarification as to whether it was excluding cap deployment, and now that we have a little bit more clarity on cap deployment with the buyback authorization, I wondered if you'd just care to talk us through how that – it might or might not impact your thinking about medium-term earnings growth? Thank you.
Robert F. Friel: Yeah. I think what you're mentioning is, on the last call we talked about sort of the business model, and I talked about how we think through the cycle, we like to be a sort of mid single, call it 5% revenue growth or organic revenue growth, and if we were to achieve that, what kind of bottom line improvement would we see there? And we said probably mid teens. And then depending on what we did with our cash flow, whether we bought back shares or made incremental acquisitions, to what extent that would add to the EPS growth or accretion. And I think we still feel good about that model. What you're seeing in the first half of the year is sort of 3%, 4% organic growth, we're generating 12% EPS growth. So I think we feel confident if we can get the organic growth up 100 basis points or so, that we could sort of make that 15% EPS growth sort of achievable.
Operator: Thank you. And our next question comes from Jonathan Groberg with UBS. Your line is open.
Jonathan Groberg: Great, thanks (28:24). On the debt that you raised, Andy, is that primarily for the buyback, or also just kind of meant to be opportunistic for other things that might come up?
Frank Anders Wilson: When we initially went in to this, and we're looking at our capital structure, we really felt like we wanted to have more fixed-term debt, especially given the rates, and if you looked at the Euro rates of recent, they seemed very attractive. And so the purpose at this stage or the use of the funds at this stage is really to pay down the revolver, and if you read some of the filings we're also amending and extending the revolver, so we'll end up with about $1 billion of what I would consider fixed-term debt, the tenor of this is 10 years, so we have increased those terms by about 3.8 years in total for the two debt offerings we have out there, and that leaves us with about $1 billion on the revolver for whatever purposes we might use that for.
Jonathan Groberg: Okay. Thanks. And then, Rob, is there – it feels like, from everyone that's reported to date, hearing kind of mixed messages on industrial, and I recognize that the specific exposures of each companies are not always comparing apples-to-apples. But when you think about industrial, like expand that to include food and environmental and the like, can you just give a little bit more clarity on what you're seeing? I know we all see the PMI, but just kind of what you're seeing or feeling there in that broader market. Thank you.
Robert F. Friel: So, I would say, first of all, just for just for clarification, when we talk about industrial, we're talking about a more limited subset. So we would consider food really separate, and we would consider environmental, which for us is largely air and water, would be separate as well. So our industrial is really around sort of petrochemical, chemical, very – little bit of semicon and a little bit of oil and gas, but that's sort of the majority of our industrial. And, I think if you recall, in the beginning of the year, we were a little concerned not only about the macroeconomic trends, but also in 2015, our industrial grew mid single-digit, so we suspected we were going to have a difficult comp. And so I think we modeled in something with sort of mid single-digit declines, and as I mentioned previously, we're actually seeing something that's more like high single-digit/low double-digit declines. And our indications, and the information we're looking at, would not suggest that's going to change for the foreseeable future. So one of the things we're assuming in the back half of the year is that, in fact, industrial headwinds continue as they have in the first half of the year.
Operator: Thank you. And our next question comes from Paul Knight with Janney Montgomery. Your line is open.
William March: Hey, guys. This is actually Bill on for Paul. How you doing?
Frank Anders Wilson: Good.
Robert F. Friel: Good.
William March: I wonder if you could just talk a bit about the food safety business. What are you seeing in that end market? And have you seen any pickup in demand or conversation since the last FSMA law went online in May?
Robert F. Friel: So, I think as we mentioned previously, food was very strong for us in Q2, it grew double-digit, sort of in mid-teen area. I would say that's a combination of probably three factors. One is, I think the overall market is strong and growing, and I think a lot of that is just continued awareness and media recognition of some of the issues around food. So clearly, the food companies are investing in that area. I would say the second area is, we continue to see significant investments coming out of China. So if you look at the food in China specifically, that was very strong. And the third area I think is unique to PerkinElmer, and I think the combination of the offerings we had historically in Environmental, combined with Perten and combined with Delta, and I gave an example specifically with a dairy company we're working with in China, is allowing us to better penetrate and provide some novel solutions to the customers. And so I think it's a combination of all three of those that's driving this very strong growth we're experiencing.
William March: Great. And then, maybe just one on the industrial side. With oil prices kind of stabilizing, what are you seeing in terms of that end market? Is that part of the headwind you're facing, or is it maybe other sub-segments of the industrial market?
Robert F. Friel: Yeah. I would say, as I mentioned previously, oil and gas is relatively small for us. It's a small subset of our industrial, so it doesn't really drive a lot. I think what you're – the impact on the oil price, and in fact we've seen a little bit of a decline here, I would say more recently, it's probably more just in general confidence and the impact it has on sort of the macro effect. I think there's a general view as oil comes down, it does have a dampening effect on the overall economy, at least from a business perspective. But as far as direct exposure for us, the oil and gas, it's small.
William March: Got it. Thanks, guys.
Operator: Thank you. And our next question is from Tycho Peterson with JPMorgan. Your line is open.
Tycho W. Peterson: Hey, thanks. Rob, if I go back to the beginning of the year, you were one of the two companies talking about a potential recovery in Europe in the back half of the year. Can you maybe just share your latest thoughts on that? I mean, I know some of it's dependent on new products, but are you still expecting a pickup in the back half of the year?
Robert F. Friel: Yeah. I would say, when we look at the geographic split of our revenue growth, actually Europe was pretty good in the second quarter. I think Andy talked about sort of mid single-digit, and if you look at where the research was strong, diagnostics were strong, and the thing that sort of depressed that to a large extent was medical imaging. So we're seeing some pretty good growth already in Europe, and our expectation is we'll continue to see some good growth in the back half of the year. So I would say from our perspective, Europe has stabilized and actually picked up a little bit relative to what we saw in the latter part of the 2015 and in the first quarter.
Tycho W. Peterson: And then now that you've had Vanadis for a few months, any updated thoughts on how that's going, and are there milestones we can track ahead of maybe 2017 or 2018 launch?
Robert F. Friel: So, I would say we continue to be enthusiastic about the progress we're seeing there. I think as I mentioned in the past, we think we've got a terrific team. They continue to make progress on the development of the offering there. I would say the one sort of significant milestone is, what we wanted to do with the Vanadis technology was not only continue to develop that to a commercial product, but also to integrate it with some of the PerkinElmer offerings. So it uses imaging capability, and we've been able to integrate the Operetta; it obviously uses some sample preparation for the NGS side of things, and we're using chemagen. And so that's been a sort of a great win to sort of move a lot of their capabilities onto the PerkinElmer products. But we still feel on track, and probably late 2017 is when you'll start to see the product come out, with sort of KOLs and a beta, and probably be revenue in early 2018.
Tycho W. Peterson: Okay. Thank you.
Operator: Thank you. And our next question comes from Derik De Bruin with Bank of America Merrill Lynch. Your line is open.
Derik De Bruin: Hey, good afternoon.
Robert F. Friel: Good afternoon.
Derik De Bruin: A couple of housekeeping questions. Hello?
Robert F. Friel: Yes.
Frank Anders Wilson: Yes.
Derik De Bruin: Okay. Great. So, a couple of housekeeping questions. So, first of all, what's your sort of expectations for FX, the remainder of the year? And sort of full-year impacts, top and bottom line?
Frank Anders Wilson: For next quarter it's probably $3 million or $4 million on the top line and de minimums on the bottom, and I think that's probably got to be – maybe – it's maybe going to be neutral on the top and the bottom in the fourth quarter. So I would say, right now, based on the rates today, it's not much of a change from what we've seen. Obviously there's volatility, what we would update that if that changed, but as of right now, I don't see a big swing.
Derik De Bruin: Great. And what was the $5.5 million gain on the – the gain you had on investments?
Frank Anders Wilson: That was related to the sale of the NTD business earlier in the quarter.
Derik De Bruin: Got it. Okay. Got it. Okay. And I guess, just sort of going on with Tycho's question. LS, you're looking for low LS, negative low single-digit growth in U.S. this year. I guess, sort of what – in this quarter. Can you talk about sort of like the pacing for the remainder of the year for the U.S., and sort of how you're looking at that market?
Robert F. Friel: Well I mean, if you look at the declines in the U.S., it was largely the industrial side that we talked about, a little bit in the sort of research area. Now as we look at the first couple of weeks of July, or at least a month of July, we are starting to see a little improvement of bookings in those areas, so we're cautiously optimistic. But I would say as we think about the U.S. for the latter part of the year, we think it probably maybe stabilizes at flat, but we are not forecasting significant growth.
Operator: Thank you. And our next question comes from Jack Meehan with Barclays. Your line is open.
Jack Meehan: Hi, thanks. Good afternoon, guys. I want to start and ask just a little bit more color on OneSource, how the service revenue was in the quarter, and then are there any notable contracts are evaluating at this point just through the end of the year that we should be looking for?
Robert F. Friel: So, OneSource had another good quarter. I mean, even though it comped against a strong, sort of mid-teen growth last year, it continued to grow double digit, so we continue to see nice progress there as we've talked about in the past. We think to a large extent our differentiation revolves around not only our capabilities and proven track record, but also the analytical capabilities we have with our informatics offering. With regard to contracts, I would say at any given time we have a number of contracts that are coming through, and the back half of the year is not any different. So rather than spike out any particular ones, I would say, it's a continual process. I think we've mentioned in the past that a number of these contracts, or I'd say the majority of the contracts are sort of three-year tenure. And so in any given quarter we probably have a couple that are coming to, and we continue to be optimistic about our ability to either maintain the ones we have or win the ones we don't.
Jack Meehan: Great. And then just a two-parter on margins. Nice growth in the Human Health business, I thought there might be a little bit more margin expansion. I know you talked about some of the business investment there. Could you maybe quantify the amount of the new R&D going through that business versus the Environmental Health? And was there any change to your guide on R&D for the full year? Thank you.
Frank Anders Wilson: I think that – this is Andy. The majority of our incremental R&D is going towards Human Health, and a big piece of that is with the Vanadis acquisition. That will continue. I think you're going to continue to see our R&D, year-over-year, certainly higher. This quarter we were up 2%. I think that type of level of 6% or just north of 6% will probably continue in the second half, at least that's what the current outlook is. And again, we're not focusing all of our R&D in Human Health, but a big portion of the incremental R&D spend is in Human Health.
Robert F. Friel: Yeah. And I think the way to think about for the full year, we're assuming that R&D as a percentage of sales goes up about 50 basis points.
Jack Meehan: All right.
Operator: Thank you. And our next question comes from Ross Muken with Evercore ISI, and your line is open.
Ross Muken: Hi, good afternoon, guys. I guess in the context of something we've talked about before, you have a few parts of the business that had fantastic results, you have a few parts of the business that are struggling; some have struggled for some time, like panels. I mean, as you think about sort of portfolio reconstruction and how you're feeling about your general mix of assets, and I guess you have not done much recently on the M&A side – do you feel like you're making enough progress? Obviously you're doing a lot of internal investment to get the growth rate higher, but to sort of get this mix to kind of an optimal level. I mean, is there stuff where you'll look and you say, well, I'd maybe contemplate that not being part of the Perkin portfolio, but I haven't been able to find the right asset yet? I'm just trying to figure out how you're thinking about the whole portfolio construction.
Robert F. Friel: Yeah, I think that's a fair observation. And I would say not only we haven't found the right asset yet, but in a lot of instances, we're looking at what is the appropriate time to sell the asset. So I wouldn't be surprised if two years from now there's parts of PerkinElmer that probably aren't continue to be the part of the portfolio. And one of the things we're looking at is we continue to focus on the higher priority areas. We're sort of challenging ourselves on, let's say, some of the core product offerings. And particularly, to the extent that we think in order to be more competitive, it requires either greater scale or significant inorganic investment to, say, either accelerate market diversification or product diversification. And so, obviously we evaluate the potential return of those investments versus possible commitments to overdrive other areas, right? And so ultimately if we determine those investments, they'll make sense relative to other alternatives, there probably should be another owner. And to your point, I think we focused a lot of time over the last maybe 24 months in making sure that we're optimizing the profitability and the growth prospects as we own it; at some point, to take it in the next level, it probably requires a different owner who will be willing to invest more inorganically in the business.
Ross Muken: That's fair. Thanks, Rob.
Operator: Thank you. And our next question comes from Steve Willoughby with Cleveland Research. Your line is open.
Steve Barr Willoughby: Hi, good evening guys. Two questions for you. First, I was wondering if you can just provide any color on some of the recent smaller mass spec acquisitions you've made, and how those fit in with the business? And then secondly, if you could remind us what drove the strong academic and government spending in the U.S. a year ago that you're comping against this quarter?
Robert F. Friel: So, I'll take the first one. So I mentioned one in particular, we made a, call it a relatively small acquisition here recently, a company called BioScientific. Revenue for this year will probably be, I don't know, $11 million, $12 million, something like that. But we are excited about it because it brings two capabilities, it has a portfolio of NGS Library Prep kits, they go on both Illumina and Ion Torrent, they're particularly good at nucleic acid isolation, and their expertise particularly in increasing enzymatic efficiency. So we like that capability. They also bring some strong capabilities around the food area, and in a particularly in the area of detection of microbial and industrial contaminants. And we like that portfolio of assets as well. So small deal from a revenue perspective, but we're excited about the capabilities that they bring, and again, complementary with two of the higher growth areas that we've identified in the past. And we'll continue to look for those types of things. As I've said in the past, my preference would be something a little bigger, but clearly those capabilities are things that fit nicely into the PerkinElmer portfolio, and we'll continue to look for those and hopefully we'll be able to accelerate their growth and drive higher profitability.
Frank Anders Wilson: And you know, the answer to your second question, last year we saw a significant growth in our in vivo imaging business. There was quite a bit of funding that came out during the quarter a year ago, and that really was the key driver to what was essentially double-digit growth in the prior year.
Operator: Thank you. And our next question comes from Isaac Ro with Goldman Sachs. Your line is open.
Isaac Ro: Hi. Good afternoon, guys. Thank you. First one was on the Medical Imaging business. You guys commented on some of the pressure you're seeing there, and I was hoping you could maybe dissect a little bit what end-markets might have driven those, to the extent that might have been narrow or broad-based? And then, second to that, what's baked into your guidance for the balance of this year in that business?
Robert F. Friel: Yeah. So, the headwinds are really in two areas, it's in radiology and it's in oncology. And on the flip side of that, we continue to see strong growth in the, I'll call it the non-medical applications, as well as our CMOS business continued to do quite well. And that's largely in sort of surgery, and increasingly going in the dental. So, those markets continue to grow nicely. Unfortunately they're not large enough to more than offset the challenges we see in the oncology and radiology area. And so to mention, I would say through the first half, we've seen sort of mid-to-high single-digit declines, and to a large extent that's what we're expecting in the back. And that is a change, because I think previously, clearly in the first quarter, we thought there it would be some moderation of the pressure, and that our expectation was that in the back half of the year that we'd get medical imaging flat, maybe growing low single digits.
Isaac Ro: Got it. Thank you. And then, just to follow up on the services side of your portfolio, you called out some of the strength in OneSource and Informatics. And I'm curious if you could maybe update us on your go-to-market strategy for those two businesses? I'm wondering if you're in a position where you're cross-selling those to the same accounts, or perhaps selling them in a bundle. Just thinking about how you are monetizing those growth opportunities? And as part of that, the margin contribution as Informatics in particular grows, I imagine the gross margin's quite attractive. So I'm wondering if it's starting to move the needle on operating margins as well.
Robert F. Friel: Yeah. So, last year, we announced the creation of LSS, which was really taking the product business on research, our Informatics business, and our OneSource business, and combining them under one front-end structure. As a part of that, we also established a global account team, and we've been building and investing in that team for the last, now it's probably been 18 months. And if you look – I think we commented in 2015, we saw nice growth in the global accounts. If you look at the second quarter, the global accounts were up about 10%. And so it's a combination of going through our Informatics customers and introducing in the OneSource, and then vice-versa on the OneSource side, and then also to the extent possible trying to drive some product revenue as well. I would say at this point we're seeing much better cross-selling between Informatics and OneSource than we are in the product side, but we'll continue to drive that. And I think it's an opportunity down the road.
Operator: Thank you. And our next question comes from Brandon Couillard with Jefferies. Your line is open.
Brandon Couillard: Thanks, good afternoon. Rob, more of a bigger picture question. Do you guys track, or do you have a statistic around sort of what you view as your current vitality index, and where is that today relative to maybe where it was three years ago or so? Because you're increasing the spend, but it seems like the core growth is still in the 4% range. How do you think about the returns that you're getting on that incremental investment?
Robert F. Friel: Yeah, so we do track it, so our vitality index is in sort of the low 20s. It's been relatively flat over the last couple years. And so what's happening is, while we are adding some new products clearly into the marketplace, some of the ones from the sort of 2010, 2011, 2012 vintage, in some cases we're – very strong growers for us are coming off. So it's actually requiring us to get a fair amount of incremental growth. I think we talked about in 2015, sort of $40 million of incremental. Now our expectation is as we get sort of into the 2017-2018 timeframe, we'd like to see that into mid and high 20s. But I would say it's taken a fair amount of work just to sort of offset what was a pretty strong class of new products in the sort of 2010, 2011, 2012 timeframe.
Brandon Couillard: Thanks. Then one for Andy, the Environmental Health margins in the period improved pretty nicely despite the modest organic decline. Were there any one-time benefits to that improvement? And then secondarily, any update you can share as far as the net interest expense expectation for the year?
Frank Anders Wilson: There really were no one-times. If anything, they had stronger operating margin expansion, but they had some higher comp expense. Their results were a bit better, so the compensation related to that was higher. So I don't think there were any unusual items. And I think we're going to continue to see good solid margin expansion in the second half, in EH. As far as incremental interest expense, we said it's going to be the impact of, it's about a penny, and we said we were going to essentially cover that with our operating results. That would be just related to the incremental interest.
Operator: Thank you. And our next question comes from Bryan Brokmeier with Cantor Fritzgerald. Your line is open.
Bryan Brokmeier: Hi, good afternoon. Thanks for taking the questions. India is probably the largest newborn screening market that you still have left relatively untapped. Would you provide us with an update on the status of your pilots and programs that you have established there, and the percentage of the market that you've now penetrated, and any competition that you've encountered?
Robert F. Friel: Yeah. So, as you pointed out, India is a significant, probably 27 million births. So we talked about three pilots that we started about a year ago; two of those have moved into what I'll call active use. In addition, we have several local states that have started a newborn screen test, really looking at six disorders. We placed systems with two other states, but they haven't started their pilots yet. If you look at our diagnostic revenue in India, it was up 51%, but having said that, it was off a very small base. So we're starting to see some good traction there, but I think, as I think mentioned in the past, it's going to take some time to get that to a sort of a sizeable number, but at least the trends and the indications continue to be very positive.
Bryan Brokmeier: And how much of the regions – of the other regions within India looking at those pilots and considering starting their own, or to go all out into routine use?
Robert F. Friel: So, our approach has been to sort of both talk at the federal level, because ultimately for this to be broadly adopted, it's got to be sort of approved and suggested by the Indian sort of Federal Health Ministry, as well as working selective states. So it's really working both of those, and we've got a fairly significant effort in driving that.
Operator: Thank you. And our next question comes from Doug Schenkel with Cowen & and Company. Your line is open.
Doug Schenkel: Hey, good afternoon, guys. So, I guess just a quick one to start. China and India both were strong in the quarter. Could you just give us what your expectations are for growth in the second half in terms of what you embedded into guidance?
Robert F. Friel: So, I think in China, we went into the year saying that we thought it was going to be sort of low double, and given the strong growth we saw in the second quarter, we've taken that up a little bit. But we haven't sort of assumed that the 20% continues. So I would say maybe we've taken it from sort of low teens to sort of mid teens. India, again because it's such a low base, I would say India we're probably in the sort of 15% to 20% range.
Doug Schenkel: Okay. And I guess sort of related, in the past, sometimes when we flip the calendar and get into the early days of the new – of a new China five-year plan, there is a pause in demand. Ultimately this has, at least historically, been followed by a pretty big ramp-up in demand in areas that are prioritized within the plan. You looked really well-positioned, given the focus on a number of things, including but not limited to, food and water testing, as well as increased funding for things or increased focus on things like neonatal testing. I'm just wondering, in the early days are you hearing or seeing anything that suggests we should be contemplating this dynamic? And is that something you factored into guidance? Or at this point, are you thinking that things may actually get going in the new five-year plan a little more smoothly than maybe we've seen the last couple of times?
Robert F. Friel: Yeah. Our assumption is the latter. I mean, our assumption is that it's going to be more sort of advertised or smoothly built-in. And again, because we've seen nice growth here more recently, our expectation is that we're not going to see any kind of incremental benefit from the rollout of the new five-year plan.
Operator: Thank you. And our next question comes from Emily Stent with Robert W. Baird. Your line is open.
Emily G. Stent: Perfect. Thanks for taking my questions. I just have one. So now that we're seeing local Zika cases in Florida, are you seeing any impact on birth trends in the U.S. or any other main geographies?
Robert F. Friel: No. I mentioned earlier that clearly Brazil, we've seen our business there be reduced significantly, but we have not seen any indications at this point that it's impacting U.S. birthrates. Our data would suggest that births in the U.S. are still growing in the sort of 1%, 1.5% range. But in the case of Brazil, we're seeing a significant decline.
Emily G. Stent: Got it. Thank you very much.
Operator: Thank you. And there are no further questions in the queue. I'd like to turn the call back over to Mr. Rob Friel, for any closing remarks.
Robert F. Friel: Great. So, first of all, thanks for the questions, and I'd just like to conclude by reiterating that we feel great about our progress during the first half, as well as the long-term opportunity to accelerate growth over the next five years. At the same time, we continue to be inspired by the terrific impact that we continue to make for our customers to improve lives and the world around us. So, thanks again for your interest in PerkinElmer, and have a great evening.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone have a great day.